Operator: Good morning, and welcome to JBT Corporation's Fourth Quarter and Full Year 2020 Earnings Conference Call. My name is Denise and I will be your conference operator today.  I will now turn the call over to JBT's Vice President of Investor Relations, Megan Rattigan, to begin today's conference.
Megan Rattigan: Thank you, Denise. Good morning, everyone. Welcome to our fourth quarter and full Year 2020 conference call. With me on the call is our Chief Executive Officer, Brian Deck; and our Chief Financial Officer, Matt Meister. In today's call, we will use forward-looking statements that are subject to the Safe Harbor language in yesterday's press release and 8-K filing. JBT's periodic SEC filings also contain information regarding risk factors that may have an impact on our results. These documents are available in the Investor Relations section of our website. Also, our discussion today includes references to certain non-GAAP measures. A reconciliation of these measures to the most comparable GAAP measure can be found in the press release issued last night.
Brian Deck: Thanks, Megan, and good morning everyone. With the onset of COVID-19 in early 2020, JBT's financial performance clearly fell short of the expectation we set entering the year, yet I'm proud of the way our entire company navigated the many challenges associated with the pandemic. Operationally, JBT, our customers and suppliers experienced a difficult environment, which has continued into the first quarter as we all deal with inefficiencies related to COVID protocols and higher absenteeism. Fortunately, on the commercial side, JBT accelerated the level of customer engagement as the year progressed as we all learned to manage through this difficult environment. For the year, JBT remained solidly profitable as we quickly adjusted our cost structure. Our broad product line enabled us to serve stronger segments of the market, and our recurring revenue business provided vital stability. Moreover, we ended the year on a positive note with excellent orders and exceptionally strong cash flow. With that, let me turn the call over to Matt and let him provide analysis of our fourth quarter performance and present guidance for 2021.
Matthew Meister: Thank you, Brian. While our year-end call normally focuses on full year results, given the significant impact of COVID on our markets and year-over-year comparisons, we will concentrate on sequential trends in the fourth quarter and how that positions JBT for a better 2021. In the fourth quarter of 2020, FoodTech sequential revenue was up 6%, slightly above our high end of our forecasted range of 3% to 5%. We saw sequential growth in both recurring and equipment revenue of approximately 5% and 8% respectively. FoodTech operating margins of 13.4% and adjusted EBITDA margin of 18.7% were in line with our forecast. AeroTech revenue of $118 million exceeded our expectations in the quarter, with higher sales of passenger boarding bridges. The additional volume helped AeroTech exceed guidance with operating margins of 10.7% and adjusted EBITDA margins of 12%. Corporate expense was $11.3 million, which included $2.2 million of management succession and M&A-related costs, was better than our forecast due to lower charges related to incentive compensation and a foreign exchange gain. Separately, restructuring costs in the quarter were approximately $1 million. And interest expense was favorable in the quarter as strong cash flows reduced our debt balance. For the fourth quarter of 2020, JBT posted diluted earnings per share from continuing operations of $0.94 or adjusted EPS of $1.02, outperforming our guidance primarily due to higher revenue along with lower corporate costs and interest expense. Excellent fourth quarter free cash flow of $92 million was the result of continued proactive management of inventory purchases with favorable collections of customer deposits and accounts receivable.
Brian Deck: Thank you. While Matt talked about the shorter-term impact from this pandemic-driven cycle, I'm going to focus on the strength of JBT's offering and the longer-term secular trends which we have been investing in and are well-positioned to capitalize on at both FoodTech and AeroTech. First and foremost, JBT FoodTech enjoys a very broad participation of food end markets. Indeed, if you eat or drink something today, there's a very good chance that JBT technology played a critical part in its preparation. That gives us an advantaged position to meet evolving trends in consumer demand and food consumption wherever they go. Let me mention a few examples of very attractive fast-growing categories. As you know, plant-based and cultured meats represent a rapid growth market. JBT is expanding its penetration in that market with portioning equipment, an array of cooking, coating and freezing technologies, high-pressure preservation systems, mixing and blending solutions, tray sealing and clipper applications. We even provide equipment for bioreactors used for cultured meat products. JBT's processing, packaging and preservation solutions are also going into the production of fast-growing categories of functional and plant-based beverages such as oat and coconut milks, energy drinks, tea and coffee-based drinks, alcohol-infused beverages and protein-based beverages. And our opportunities go beyond food for human consumption. We are actively selling these same solutions into the pet food market, with the rising demand for premium wet and fresh food. In fact, one of our largest categories of orders in the fourth quarter was for pet food applications.
Operator:  Your first question comes from Joel Tiss with BMO. Please go ahead.
Joel Tiss: Well, I'm not used to being first. I wonder if you could talk a little bit about the mix that you guys have between your airport business and commercial airlines inside of AeroTech?
Brian Deck: Absolutely. So it's changed a lot over the last year as you might imagine. It used to be something in the - in terms of end markets we're talking about now, it used to be about 45% infrastructure and 40% on the airline side, commercial airline side, and the rest in military and cargo. Now that shift is more like 60%, 65% on the infrastructure side, about 25% on the commercial airline side and then another 20% or so on the cargo and military.
Joel Tiss: And any insights from the commercial guys about how much their business, whatever, their components are wearing out and sort of building pent-up demand for maybe 2023 and '24 as things start to get back to a more normal run rate?
Brian Deck: Yes. On the commercial side, certainly, they are continuing to use the older equipment as much as they can before they invest in it. We are starting to see an uptick in the service and aftermarket, which is good, but I do think it will take some time on the commercial airlines before they really start ordering equipment. It's not going to be 2021. We do expect, at this point, in the back half of 2022, if the pace of recovery continues as we expect and a good recovery in 2023. In the meantime, the cargo market looks very strong for 2021. Military looks very good. And I mentioned some upcoming programs on the military side that won't affect our 2021 revenue but will really well position us for 2022/2023 with the breadth of some of those new programs that are coming out and they really speak to some of our strengths on air and power on the military jets. Some nice programs on both the US Air Force. There's even a program with the Army and then some other non-US-friendly programs are coming into the marketplace. But on the infrastructure side, that's been a real source of strength in 2020 and looks like it's going to continue into 2021. We did have some shifts, a few commercial airlines shifting out some of their production but we were able to quickly fill that, those slots, with other demand. So we ended up meeting our original targets on the infrastructure side out of our Jetway business, and that demand continues into 2021. It's obviously a little early for 2022 but all signs on the longer-term trends that we talked about with that business, with the pace of required investment because of the average age of those bridges, really is encouraging. It's just a question what does 2022 and 2023 look like. But as we sit here today, it's quite strong. And that was the source of the strong orders in the quarter. We've got some really nice airport orders on the infrastructure side in the fourth quarter. So while it's going to take a while on the ground support side, in the meantime we've got some risk ability on the infrastructure, cargo and military side.
Joel Tiss: And then at the risk of taking up too much time, just one last question. Can you talk a little bit about your 2021 free cash flow, just sort of any ballpark and acquisitions? Your debt to net-debt-to-EBITDA is way back down again. And maybe any areas that seem particularly interesting from valuation or availability or whatever way that you want to talk about that?
Brian Deck: Sure. I'll let Matt talk a little bit about the free cash flow expectation, then I'll talk a little bit about acquisitions.
Matthew Meister: Yes. So from a free cash flow perspective, Joel, we're looking at a target of about 100%, maybe a little lower, closer to 90% in 2021, just coming off such a good performance in 2020 as well as we expect the balance sheet to expand a little bit in 2021 as volume comes back, especially on the food side, as well as we expect to get to more normalized level of CapEx as we get back to investing in some programs to support the growth on the business side. So we think about 100% is what we call entitlement for JBT, and we've calculated that for each of the business units, and that's their targets is their entitlement for the year, which is basically just operating income plus D&A and minus some impacts for CapEx, historical CapEx, and some expansion in the balance sheet. And so the businesses have their targets and they're operating to those for 2021.
Brian Deck: Right, exactly. And in terms of leverage and acquisitions, so you're right, we're right about 2 times leverage. We're in a really good spot. Our desired leverage range remains 2 times to 3 times. And we will be acquisitive over the next couple of years. And I think we've got a real opportunity here in the marketplace. I do think that the market is - there's opportunities out there and JBT is well positioned to do that throughout the pandemic and before as you know, Joel, we continue to cultivate and really try to get the proprietary-type deals as opposed to the broad auction-type deals as part of our pipeline. So we've continued that. I think we're well positioned. So we could see adding some debt and leverage over the course of the next couple of years, again, ideally staying within that 2 times to 3 times. But given the right opportunity, I can certainly see us going well into the 3s, provided that we have a path back to that 2 times to 3 times within, say, 12, 18 months, but that's generally how I think of it.
Operator: Your next question comes from Lawrence De Maria with William Blair. Your line is open.
Lawrence De Maria: I see your main competition has noted a need for automation and digital solutions, you mentioned this earlier, obviously, also with iOPS. So I'm just wondering if you're winning business yet because of digital specifically, how competitive your offering is? And really where I'm going with this is we're looking at cyclical recovery after last year and I'm curious how you're going to outgrow the market, if this is a big factor in that over the next year, 2, 3 years, et cetera?
Brian Deck: Yes, I do - automation is something we think a lot. And it's a broad comment and it's about digital. It's not just iOPS, right? It's about the automation of our products themselves. It's about the digital tools that we use with our customers, not just the iOPS, but also the engagement we have. So we've invested a lot of time and money over the course of the year on engagement with the customer from a digital perspective, in terms of how we interact with them, how we market to them, our ability to tap into new customers and then use some of those tools on the cross-selling side as well. So to me, it's a digital experience. It's an iOPS experience. It's an automation of our products itself. And we are seeing the orders coming in. There was a good strength of automation orders in the fourth quarter not just the QSR and the home trend but also discontinued automation trend. But as I mentioned, it's all encompassing. I do think we're well positioned. We aren't tapped to invest a good amount of money in 2021 on this, particularly on the iOPS side as we expand our platform on that. So it's something we continue to invest in. And I'm very confident and pretty excited about the path that we're on, particularly with Christina Pascal, who we promoted into the executive team. She really has some really excellent currency in this area and really great thoughts, and she's been really supportive in developing the strategy in that regard.
Lawrence De Maria: The other is margins, obviously, moving in the right direction. And you guys, especially the last couple of years, have done a really good job getting those EBITDA margins higher. And a lot of that's a result of restructuring. So the question is, what's the - how much of a benefit are we getting this year in restructuring from prior cost cutting? And how much are we leaving on the table because we don't have the volume to where we wanted to be to get all those benefits? In other words, what we get in this year and what are we - what could we get into next - into 2022 theoretically, because in a growing market that had more volume, it will be easier to capture those cost cuts? Or are we capturing at all?
Matthew Meister: From a restructuring perspective, in 2021, we expect on the food side somewhere around $4 million to $5 million in benefit and another $1 million incrementally on the AeroTech side for some of the programs that we announced in late 2020. The run rate for the FoodTech program is probably in the $6 million to $7 million range and the full benefit on the AeroTech side is $2 million. So it's really just a function of the timing of when we can get the restructuring programs in place and get the costs out and get everything sort of moved to the new facilities we're trying to, again, reduce our footprint in some of our food businesses over in Europe.
Brian Deck: Yes. And just as a reminder, Larry, the - originally, when we looked at our 2020 guidance back this time last year before the pandemic hit, with the kind of, I'll say, the full benefit of the 2018 restructuring plan that was coming into play, we were targeting about 20% for FoodTech. So that was kind of post restructuring, we're guiding this year to 19.5% to 20%. So we're really well on the way to where we need it to be. We're about, call it, let's just say, about 90% recovered from the pandemic in 2021 when you look at the revenue profile compared to 2019. And then when you consider some of the inflationary impacts that we're battling, I'm really happy and pleased with the guidance we're providing in that high 19% range, given the challenges in the marketplace, we've continued to do an excellent job overall with our JBT operating system. We've got really good clarity on our productivity on a plant-by-plant level. We monitor this very closely with the business unit presidents. We have constant updates on each factory and the productivity levels that they're focused on. And if they see the volumes change, they make the proper - take the proper actions as it relates to their staffing levels and their hours, overtime, et cetera. So we monitor closely. We're on a great path to where we thought we otherwise would have been on the FoodTech side. So I'm really, really pleased there. On the AeroTech side, obviously, it's going to be a longer-term trend. We had originally guided to about a 15% margin in 2020, again, this time last year. That's going to take a few years to get to given their volume activity. But all said, again, with the inflationary impact that we're seeing to post an increase in margin, as we are with our guidance, that's - we're on a good path with AeroTech too.
Operator: Your next question comes from Allison Poliniak with Wells Fargo. Your line is open.
Allison Poliniak: Just want to go back to FoodTech and, I would say, access to customer sites. Is there a way to think about? How has that hindered the growth rate there near-term? Is that starting to ease? I'm just trying to get a sense of, is there at this level a pent-up demand as that access improves that you could experience here as we move through the year?
Brian Deck: Sure. Our access did improve in the fourth quarter. But honestly, it was more of a mindset access than it was physical access and just some of the efforts on the digital marketing side and in digital engagement, I think really improved. And I do think there was some benefit that we started to see some pent-up demand in the fourth quarter. And hopefully, that continues in the first quarter. It's still a little bit early to tell, obviously. And the conditions, certainly, as we entered the first quarter, with LaFarms et cetera, were difficult. That's started to ease now, which is good. So I'm very hopeful that those trends do continue. But definitely, we saw some easing of the mindset and the willingness to really invest. So a little bit of pent-up demand. But really generally speaking, some nice pipeline activity. And what was really pleasing to see was that an improved conversion rate on the opportunities in the fourth quarter.
Allison Poliniak: And then you mentioned supply chain challenges in about - certainly an issue the past few quarters. Are you starting to see that ease? How should we think about that as we move through the year? Anything that can maybe hold you up in terms of those organic growth initiatives there?
Brian Deck: Right. Supply chain challenges were existent in fourth quarter and as we entered the fourth quarter. They haven't totally started easing yet. Really, the issue is the absenteeism that we saw at our customers as well as our suppliers. So there was some slowdown. Obviously, you know about the chip issue. That's just emblematic of things generally. That really hasn't affected us so much, but it's more emblematic of what's happening in the global markets. Obviously, the situation with Brexit has also caused a couple of weeks delay at that border, 2, 3, 4-week delay at the border. Hopefully, those will start to lighten up here. So there are some challenges. They're not over - they're not without - we should overcome them, and we have factored that all into our guidance on the margins and the growth rates, et cetera. So we really tried to be thoughtful about all these challenges and to embed them into the guidance that we've provided. And I really do hope that in the back half of the year that those abate significantly.
Operator: Your next question comes from Mig Dobre with Robert W. Baird.
Mig Dobre: Brian, maybe we can go back to your comments on raw material inflation. And I'm looking maybe to get a little more color here in terms of the headwind that you see at this point for 2021. I'd love it if you were able to maybe quantify it for us in terms of dollars. And then I'm also wondering how you're sort of planning on addressing that. I'm imagining some of this will have to come through in pricing, but I'm wondering how flexible is your pricing in addressing any, say, incremental cost headwinds from here if commodity continue to move the way they've been moving thus far.
Matthew Meister: Right.
Brian Deck: I'll let Matt give some nice color on the specifics, and then I'll give some color on the pricing side in particular. Go ahead, Matt.
Matthew Meister: Sorry, Brian. Yes. Hey, Mig, this is Matt. So for inflation, we obviously are very aware of it. It's certainly something that's clearly on our radar screen as we get into 2021 as we're seeing commodities increase specifically in steel and other metals. We have a pretty big component of our spend on steel in both food and AeroTech as well as other materials such as copper and aluminum that go into the components that we put in our equipment as well as sell in the aftermarket. And so our total metal spend is somewhere in the range of $125 million to $130 million. And without any mitigating actions in place, we would see a risk of close to $20 million to $30 million of inflation. But our procurement team is on top of it. They've been working on this for a few months now as they saw commodity increases start to rise a few months ago. And they've been holding a number of conversations with each other as well as with our suppliers implementing what we call hold-the-line negotiations, really pushing back on inflationary increases, especially in cases where suppliers haven't provided decreases in the past, as well they are continuing to evaluate alternatives to those suppliers to find high-quality, lower-cost suppliers in best cost countries. And as you alluded to, they're working with our commercial teams to provide them with information on commodities so that they can look at where and when appropriate to try to pass some of that on to our customers, again, when it's appropriate. But like Brian said earlier, we have a lot of - we have all this baked into our forecast guidance and we're really confident in the actions that the procurement and the commercial teams have taken and are going to take going forward.
Brian Deck: Right. And I'll give a little bit of more color on that. So as you might know, Mig, we have invested quite significantly in the last few years in developing our strategic sourcing and our supply chain resources throughout JBT. So that has really, really helped significantly in terms of positioning us and really having a head start with our vendors and the information available to the commercial team in terms of where things are going as they consider pricing their quotes. On the FoodTech side, we certainly have more flexibility than the AeroTech side, mainly because a lot of these projects are engineered order, configured order, so you've got good visibility into the material spend that will be going into it, and you can consider that. It's not perfect. There's usually some kind of a lag, a quarter or so. However, generally speaking, they've got great visibility and the procurement team is having them look forward on the cost as opposed to look at what's in the system as to last price paid. So we spend a lot of time with those analytics and arming the commercial teams appropriately. On the AeroTech side, particularly on the ground support side, it's a tougher market, obviously, right now, a little more competitive. So as a result of that, we are less aggressive on the margin expansion for AeroTech this year despite some of the restructuring savings coming into - and a little bit revenue growth coming into their business. So we really try to capture what we think we can manage to.
Mig Dobre: That's great color. And Matt, just to make sure that I understand this correctly, the $125 million to $130 million metal spend, is that for the company as a whole or just for FoodTech?
Matthew Meister: Company as a whole.
Mig Dobre: The company as a whole. I see. Okay. Then as far as that $20 million to $30 million of inflation, is it that you're kind of managing this number down? Or is it that this full amount is already kind of baked into your guidance? I'm asking the question because - sorry, go ahead.
Matthew Meister: No, please finish.
Mig Dobre: I was going to say, I'm trying to get at what Larry was getting at earlier in terms of thinking about incremental margins beyond 2021 when, hopefully, maybe at a point in time, some of these headwinds, commodity headwinds moderate. So that's why I'm looking for this clarification.
Brian Deck: Right. So as Matt said, it is $120 million - about $130 million across both businesses. And the $20 million to $30 million, that's the number if we didn't manage it what could hit our numbers. So instead, we're managing that down. And the amount that we've managed it down both between the commercial side and the supply chain side is what's reflected in our guidance. So no, I don't expect to hit - to see $20 million to $30 million of net impact. We're going to move that down.
Mig Dobre: Got it.
Matthew Meister: And then going forward, yes, is there an opportunity to continue the margin expansion on the supply chain side? There is, that's kind of where you're going.
Mig Dobre: That's right. So thank you for that. My final question is on FoodTech and it's more along the lines of revenue mix, right? I mean, if we're looking at 2020, I think about 44% of your revenue was recurring revenue, and that was up quite a bit relative to 2019. And I understand that, that sort of was a pandemic-driven mix shift. But I'm wondering, as you think about 2021, as far as your outlook is concerned, do you essentially embed a reversal back to a more normalized kind of level closer to 40% of revenue being recurring? And if so, does that have an impact from a mix perspective in terms of your margin guidance?
Brian Deck: Yes. The short answer is, yes. So - and we look at it, food versus aero. So at the food side, we're actually in the high-40s for 2021. And in AeroTech, in the 30s, about 30% or 40%. And we do see some reversion of the mix in 2021 to more equipment mix. That said, it's not going to go from, call it, high 40s to low 40s, more like high-40s to mid-to-high-40s on the aftermarket side because the aftermarket side continues to be - and the rest of the recurring revenue streams continue to be pretty strong. So there will be some reversion, but it is embedded into the margin profile that we gave.
Operator: Your next question comes from Todd Brooks with CL King & Associates. Your line is open.
Todd Brooks: Most of my questions have been answered, but I just have one on the FoodTech side of the business. As we move forward here and we're moving towards fuller vaccine roll-out and maybe consumer attitude is changing for food away from home versus food at home, is there any - in your customer discussions, is there any indecisions or a desire to pause on moving ahead with order activity, just where they see where the mix falls out between food away from home and food at home as we get towards some sort of new normal on the back side of the pandemic? I know there was some indecision at the start of the pandemic just worrying to see how the mixes fell out. And I'm wondering if we're going into that environment again or are the customers fairly confident around ordering trends? Thank you.
Brian Deck: Right. You are correct that earlier in the year, second quarter, third quarter, there was definitely some indecision as to how this was all going to play out. I would tell you it does seem, in the conversation that we're having with the customers, that there is now conviction. There does seem to be a conviction that this QSR and eat-at-home trend, not just a quarter or two, enough for them to get the confidence on some of the orders. So I haven't seen comments going back like, "Oh, let's take a pause here." I think there's enough confidence as we enter 2021 that it's not going away in 2021. For 2022, we'll see. But the beautiful thing about JBT is that we have such a broad product portfolio. If those trends start to move back to full-service restaurants and our customers pivot accordingly, we'll be right there with them.
Operator: Your next question comes from Steve Tusa with JPMorgan. Your line is open.
Steve Tusa: Just wondering just for a little more color on the airport activity. I mean, there's actually demand kind of percolating there. Is there - what's the source of that? Is that just continued infrastructure build during the pandemic here getting out ahead of what may come on recovery?
Brian Deck: Right. So it really is on the infrastructure side. On the cargo side, it's literally still practically zero on the commercial airline side in terms of the equipment at least. There's couple things, Steve. First, it's - some of these longer-term orders that continue - these contracts are longer term in nature. So we did have the benefit of the things that we signed last year. But for the orders that we took this year, basically, what we've seen is, the real need for improving some of these airports across the country, both in terms of capacity longer term, because these infrastructure plays - they're thinking about it 5, 10 years out, and they really need to improve the - first thing is the customer experience because a lot of these bridges are really old and they really, frankly, are going past life. So part of it is simply the customer experience, the safety, et cetera. But fortunately, they are thinking longer term in terms of the investment cycle. So some of the big bridge orders that we took this year were really encouraging because while it's not the airlines making these investments the airports themselves and those airport authorities are thinking longer term and that really bodes well for us.
Steve Tusa: And then just on the price/cost side. Anything to speak of there? Is there - maybe just give a little bit of color on kind of what's in the earnings bridge?
Brian Deck: For AeroTech or for JBT in total?
Steve Tusa: For JBT in total is fine.
Brian Deck: Yes. I would say on AeroTech, I would say, less visibility on the price/cost, right? It's really about managing our cost the best we can there with some price - with pricing ability on the infrastructure side, given the strength of our position in the marketplace. We really do have a premier offering in the marketplace on the infrastructure side. And the value proposition that we have there has played out nicely, so that's in good shape. On the FoodTech side, it's business by business, it's product line by product line, where we are best positioned. We definitely have some pricing capabilities. But generally speaking, there is some pricing impact better than we did in 2020 so to speak, especially given the inflationary environment.
Operator: Your next question comes from Andrew Obin with Bank of America. Your line is open.
Emily Shu: This is Emily Shu on for Andrew Obin. My first question is on working capital release for the year. The working capital was really strong in 2020. I just wanted to understand the puts and takes for 2021 as volume expand particularly on the accounts receivable and inventory side, as well as any impact from the reversal of the CARES Act? Thanks.
Matthew Meister: Sure. Emily, this is Matt. On the working capital side, I do expect with the growth on the FoodTech side specifically, that we would see expansion of the balance sheet and the working capital, specifically a little bit in inventory. I think the efforts that the team has gone through in 2020 and some of the tools they've put in place puts us in a better position to manage those investments more proactively, which is why we had such great performance in the second half of 2020. On the AR side, I would expect it to kind of grow with sales as you would normally expect. I think the team has done a really nice job of managing collections and putting us in a good spot from a DSO perspective. And I think as orders continue to recover on the FoodTech side, we should see continued sort of stability in the advanced payments and deposits from our customers. So I think that's why we're estimating closer to that 90% to 100% free cash flow for the company because we do expect the balance sheet and specifically working capital to expand a bit as the business grows.
Brian Deck: And just real quick as it relates to the CARES Act, we did get about a $10 million benefit in 2021 as it was to deferred payments on payroll taxes, that will revert in 2021.
Emily Shu: And then just my last question is, we've been hearing a lot about wage inflation and companies substituting capital for labor. So I'm just curious, is there anything you're hearing from your customers maybe on the protein plant side in terms of substituting labor for automation?
Brian Deck: Yes. Substituting labor with automation, right?
Emily Shu: Yes.
Brian Deck: Absolutely. Yes. And it goes beyond the cost of labor, frankly. So, yes, all the conversations about increasing the minimum wage throughout - on the national level certainly would not be well received by the food industry, and they are going to continue to work on those automation efforts to not just replace labor but now it's going to be more imperative from a cost perspective. So, yes, this trend has really started about a year ago or so. JBT does offer a good mix of automation on the poultry side and the protein side in general, with some of our inspection products, our portioning products. And on the fruit and vegetable side, similar in terms of the sorting and all the vegetable processing, that's another area of high labor content. So we do have a really nice offering throughout the JBT portfolio. It's a trend that started a couple quarters ago with the lack of labor availability. So it's just going to be - I don't think it from a cyclical perspective this is really going to be a secular pressure on our customers that we are going to continue to need to provide support for.
Operator: There are no further questions queued up at this time. I'll turn the call back over to Brian Deck for closing remarks.
Brian Deck: Great. Thank you all for joining us this morning. As always, Megan will be available if you have any follow-up questions. Thanks, everybody.
Operator: This concludes today’s conference call. You may now disconnect.